Alexis Bonte: Good morning, and welcome to Stillfront's Q1 Report. I am Alexis Bonte. I'm the President and CEO of Stillfront. So in Q1, whilst we focus on delivering strong profitability and cash flows, we also continue to reallocate our product investments into our key franchises, in particular, in Europe. We expect to see the results of these investments and their impact to our group growth in the second part of the year. There are some exciting highlights of how we are expanding our key franchises in Europe during Q1. The first one is our – is a new game that's coming in the Supremacy franchise based on the major IP. We expect to be announcing this in late May. Another one is a launch of a new game in the Big franchise of which Sunshine Island is a part and that will build on the success that we've had with Sunshine Island. The third one is the soft launch of a new game in our Narrative franchise with a major IP that we've already announced from Webtoon. So some pretty exciting news in our key franchises in Europe coming up in 2025. But I want to share a little bit more about what that means and what's happening with our largest game franchise in Europe, Supremacy. So as part of our efforts to become leaner and faster, we've restructured and unified the three studios working on Supremacy into a single, focused franchise team to drive alignment and efficiency. We're also investing in deeper modes and cross-promotion opportunities, taking a more pragmatic approach to deploying the Stillfront ecosystem tools in a more targeted way to ensure that we're delivering maximum impact. In addition to the new Supremacy game that we're launching at the end of the year, that will be the franchise's fourth game, Supremacy 1914, one of the main games in the franchise is also getting a major upgrade with the new clients, improved visuals and enhanced gameplay. This is building on the success of our last revamp that we had a few years ago, which significantly accelerated growth then. This is also a great opportunity to retarget players and fans of the franchise. So lots of exciting things happening in – with Supremacy. Now going over the specific business areas performance over one quarter. In Europe, as mentioned before, it was a quarter with focus on product improvements and building on our pipeline momentum for later in the year. Organic revenue declined as expected due to fewer UA-driven launches, but adjusted EBITDAC remained stable. Supremacy and the Big farm franchise showed positive quarter-on-quarter trends. And that's very encouraging, especially in Supremacy, we're really in the product investment phase and not really pushing on the UA front yet. Albion Online grew from the Euro server launch last year, which had a big peak in Q2. And as a result of that big peak in Q2 last year, you will face tough comps in Q2 this year because the way these new server launches work for a product like Albion Online is, you have a massive peak on the quarter, the few months where you're kind of launching the new server and then that basically drops progressively and then stays kind of at a new high level, and that's kind of how we constantly grow that franchise. We have also a stronger pipeline of updates and new launches that are set to drive H2 growth in the business area. The one part that underperformed versus our expectations was narrative games. So we're doing some repositioning work and some investments into that franchise, leveraging, in particular, AI and also we're doing some IP partnerships, as we discussed, which is a Webtoon partnership. But that's the picture of Europe, a solid core, major investments into the key franchises there to basically build the product. We've retracted UA, as you can see, investing less in UA in the quarter and we'll deploy UA again when we see the kind of the product improvements that we're making are allowing to do so and obviously, with the new launches in the second part of the year. As for North America, we are in turnaround mode, as we said before, and we have a very strong margin focus there. As a result, revenue declined due to the reduced UA, but profitability improved quite significantly. We actually went from 1% EBITDAC margin in Q4 and to about 9.5% EBITDAC margin in Q1 for the business area. As part of our cost savings program, we also prepared during Q1 to transfer 24 Storm8 legacy games to Imperia. That was actually completed in April – on April 1st, and we will see the impact of that from Q2 onwards. For reference, these games generated about SEK150 million in revenues or about SEK75 million adjusted EBITDAC in 2024. So that's for the full 2024, not just a specific quarter. So that's – so you have a reference of the value of the games that we're transferring from North America to basically our legacy studio in MENA and APAC called Imperia. Then we have kind of early direct-to-consumer pilots in casual games that we've done in Europe have shown really good promise for further margin expansion. We are in the process of implementing this DTC, say, direct-to-consumer web shop to our key franchise in North America. We've had few delays in when that will go live, but we think we should be able to do that quite soon and then further improve the margins that we're able to get in the business area. So for business – so for North America, really, we haven't been focused at all on the topline. What we're really interested in kind of is finding the right level to then invest and grow profitably the business area. And that's why you kind of – you've seen our ability to extract profits within that area. In MENA and APAC, we had solid performance and we continue to have a profit focus. Jawaker and Board performed well. There was a small slowdown in Board as we're kind of focusing on improving the product there. We expect it will give – but it's still growing very healthily. And Jawaker now offers over 50 games via its super app. Key game franchise in the region achieved 21.2% year-on-year growth, as you can see at the bottom there of the slide. And 6waves and Babil are refocusing on margins amid slower publishing activity, and that reduced overall year-on-year growth for the full business area. Imperia's integration of 10 legacy titles is boosting profitability and free cash flow, but does have an impact – a negative impact on the year-on-year growth of the overall business area. This will be accentuated in Q2 and onwards with the transfer of further 24 legacy games from April 1. So that in total, that will mean we will have 34 games that will have been transferred. And obviously, the idea from there is to reduce costs and increase the cash flows that we extract from that. And in time, we do hope that we can actually slow down the decline of these legacy games as well. So that's the main things from the 3 business areas, and I will transfer to our CFO, Andreas, so that he can go over some numbers. Andreas?
Andreas Uddman: Thank you, Alexis, and good morning, everyone. Looking then at the financials as a total. Alexis did a deep dive on each of the business area that are driving this. We posted net revenues of SEK1.545 billion. That is obviously a slight – it is a decline. It's an organic decline of 12%. That is driven primarily by the intentional reduction in terms of UA spend, funding the UA profitable spend, especially in the U.S., where we are turning around the business. Looking at UA as well, we still are spending around the 30%. So we have 29% spending in the quarter as a total as a group and that has been fairly stable. If you look at this over a period, I think it's very important to remember when we start presenting the business areas, there will be more fluctuations in the business areas, which has always been. But when we look at the total, you see that the UA spend is fairly stable across the group as a whole. But in the business areas, it will fluctuate the same as revenues will fluctuate. One of the things that is obviously keeping up the EBITDAC performance is the fact that we have improved our gross profit. It's been continuously an improvement in the last 18 to 24 months, where we have gradually moved our player base into our DTC channels, and we hope that we have more ability to do that in the future, especially in the North American business. We have also reduced the UA as in this quarter, I think we're still at a higher level, I would say, but we also need to remember in Q1 2024, we also had a launch of Sunshine Island, which had an excess of UA spend. And our fixed cost initiatives in terms of reducing them and go in a bit more into detail on that later. They are also helping. So, both in terms of whilst we're reducing topline, our EBITDAC in absolute term actually grew by 12% the quarter – year-over-year. In terms of our free cash flow, we – it has also been historically impacted by higher interest rate costs, which are now slightly coming down. And this is the second quarter now in a row that we post positive over SEK1 billion. So we are at SEK1.1 billion in terms of LTM free cash flow, even if this quarter, we actually had a negative working capital effect versus the last quarter, which was expected as well. Then moving into next slide, looking at the cash flow in a bit more detail, so just isolating the quarter and – we had SEK388 million of cash flow from operations prior to working capital adjustments. Within that, we still have financial expenses of SEK78 million. It is down versus last year, partially that we don't have a one-off effect in the same fashion, but primarily driven by lower UA that we have in the business. Taxes, we paid SEK53 million, which is similar to the same as last year. And we have a negative working capital impact, which is in the same fashion as last year, mainly driven by that we reduced our liabilities. I think it's also a timing effect that we have a positive operating liabilities effect in Q4 2024, and that is naturally now reversing in Q1 2025. Then looking at how we invest, I mean, we have gradually taken down our investments in terms of CapEx. So we invest in total in terms of investment activities, SEK150 million. Out of that, SEK132 million is driven by the fact that we are investing on product development. That is a reduction. It's an 8.5% of our net revenues. And I think it will fluctuate between quarters, but that's roughly where we think we are feasible to stay over time. Addition to that, we have a small part that we actually bought out the minority stake from the Supremacy franchise of Dorado, which was completed as well in Q4 and some of the settlements happened in Q1 this year. In terms of financing activities, fairly straightforward. This – we repaid SEK85 million, and we repurchased 42 million of shares in the quarter, then we purchased a bit of more shares post the quarter end, which is not reflected in the numbers. And I think one of the things we always talk about is our free cash flow. I showed on the previous slide how that we are back now two quarters in a row with above SEK1 billion of free cash flow. And I think it's also important to remember where we have actually deployed this free cash flow, where we have actually bought back or paid earn-out, which is acquisition and divestments of business of SEK460 million. So that's reducing our overall debt if we talk about total debt as such. We also then reduced some of our outstanding borrowings to the banks. And we also then supported a buyback program of SEK344 million. So we are, as we show, gradually increasing our cash flows back to SEK1 billion, and we are deploying that to both reduce debt, but also to buy back shares. And then if we then look at our financial position, slightly new. So we just talk first about the total debt profile. The total debt profile is the graph to the left, which is basically all debt, including all earn-outs. And as you can see on this, we are reducing that over the last year with more than SEK600 million of total debt, and that is something that we have continuously been doing. And if we take a step back from when we last did the acquisition, the total debt reduction and the buyback of shares is approximately SEK2 billion. Then we look at the maturity profile. This quarter, we didn't have – not have any new financing. We completed the financing track in the last – in Q4 last year. So we are – have a good maturity profile. The big maturities that are coming up is more than two years until we have the next what do you call it, maturity of the RCF debt. In terms of our leverage ratio, we are now at 1.9. So the leverage ratio is net debt, including the next 12 months cash earn-outs. That is now at 1.9 in the quarter, which is then a reduction versus the last quarter, we were at 2.1. So overall, we continue to show that whilst we have a declining topline, we can defend our margins, we can defend our cash flows, and we can deploy that both within the business, reduce debt, but also continue to support the earn-out program and or the buyback program. And that's also why we today also announced that we will continue to – with an buyback program in the next quarter or the next few weeks here until the AGM at least. Then as a last slide until I hand over to Alexis, we have – in Q3, we announced a cost optimization program and we have been following that in the last few quarters. And we are on track. We are – especially, I would say this, the fixed cost, so we are definitely on track and the majority then, of course, comes out of the North America, where we have now as of Q1, we realized an annualized run rate saving, i.e., what is going to hit in Q4 2025 of SEK70 million. Then the program is between SEK200 million and SEK250 million and is equally shared between direct-to-consumer or in terms of the direct-to-consumer channels, i.e., improving our gross profit and also our fixed cost. And I think the focus has been very much on the fixed cost. And I think as Alexis also mentioned, that there is an opportunity here in terms of rolling out the web shops, especially in the North American business. So with that said, I will hand back to Alexis.
Alexis Bonte: Thank you very much, Andreas. So, we also communicated today that we've initiated a strategic review. The purpose of the strategic review is to evaluate certain assets as part of a focused effort to strengthen the group by reallocating resources towards more scalable franchises and other opportunities. This will have no effect or impact on our SEK200 million to SEK250 million cost savings program, which is progressing, as Andreas mentioned, according to plan. This will be initiated now, and Arim and Carnegie have been retained as advisers to help with the review. And we will update the market or the Board will update the market according to rules and regulations as the strategic review progresses. And the review, I think more just to say, we will take the time that it needs to ensure the best outcome for our shareholders. So the key focus going forward is, we're focusing on the key game franchises, and we're making the investments that we need to make to get them to the place where we want them to be. We have some pretty amazing and incredible game franchises within Stillfront that have a lot of potential short, medium and in particular, long-term, and we want to make sure we make the most out of these. But at the same time, we want to make sure that we're growing in a way that is profitable and that we're quite opportunistic and tactical about when we deploy and we don't deploy UA. So that's why you will see variances from quarter-to-quarter. But of course, we always kind of keep an eye on our cash flow and EBITDAC and make sure that, that stays stable. We also are focusing on our pipeline and very important to successfully launch new games at the end of the year. We're a games company. So yes, we operate games, but we also launch new games. Of course, a big focus of these new games are within our key franchises, and we have strong hopes for the potential of these games. We, as I said, continue to deliver strong margins and cash flows. And then final focus going forward will be to execute on the strategic review that we just announced. With this, that concludes the presentation, and we are ready to take questions, if Andreas wants to join me here for the questions. Thank you.
Operator: [Operator Instructions] The next question comes from Nick Dempsey from Barclays. Please go ahead.
Nick Dempsey: Yes. Good morning guys. I've got two questions. So the first one, just thinking about Q2 group organic revenue. I think back at the full-year results, you were talking about, hoping for a benefit from Easter moving from Q1 in 2024 to Q2 in 2025 and that helping you along bit. You don't really mention that in your outlook comments anymore, and you talk about it continuing to be challenging in Q2. Can we hope for any improvement in the rate of year-on-year organic growth in Q2 compared to what we've seen in Q1? That's the first question. And the second one, just on the strategic review, I think I've understood the way you're thinking about it. But is there any chance that as part of this review, you could look to sell assets that are doing really well, if you get a really interesting price for them? Or are we simply focused more on the assets which are currently dragging you down a bit and you don't want to be in the group anymore and you're looking to sell them or close them depending on which works? Thanks.
Alexis Bonte: Thank you very much. I'll take the first one and maybe you take the second one, Andreas? Yes. Regarding Q2, yes, we do expect to see a benefit from Easter being in Q2 now. But as I kind of explained already when we were doing the previous set of results and say it again in terms of these results, we expect the kind of the bulk of the kind of the return to neutral organic growth to happen in the second part of the year. We do expect slight improvement into Q2, but we do continue to think that Q2 will be challenging, at least in terms of the topline organic growth. We do believe that we will continue to perform with cash flows and EBITDAC in Q1. As for the second question.
Andreas Uddman: Yes. In terms of if we would sell some of the currently good assets, the fairly simple answer, yes, we communicated that certain assets are up. It's not – we didn't say that it's not including what you might consider good assets. So for the right price, that will be something we consider. I mean, we're looking this from a sort of long-term strategy as well, what fits and if we can release some shareholder value through that, that is absolutely something that we would consider.
Nick Dempsey: Okay. Thank you, guys. That's helpful.
Operator: The next question comes from Rasmus Engberg from Kepler Cheuvreux. Please go ahead.
Rasmus Engberg: Yes. Hi, good morning. Thanks for taking my questions. Are you able to say that with the current EBITDAC you report in North America, are all the assets in positive? Or are there assets there that are negative? And if so, could you give us some sort of a magnitude?
Alexis Bonte: Hi, Rasmus. So in terms of North America, as I say, we're kind of really, really focusing on the profitability of the business area. I'd say the majority of the assets are now profitable in there. We still have one or two that need some work. Part of that is going to be achieved in the next ongoing quarters. Our strategy and the way we work is we want all kind of studios and key game franchises to be profitable over the medium to long-term. Short-term, that not might be the case, but then we correct that.
Rasmus Engberg: And the second question, I don't know if you can answer this, but you previously talked about having a Capital Markets Day in the second half of the year. Is that still the plan? And is it reasonable to assume that you have finalized the strategic review at that time? Or is that a separate thing?
Alexis Bonte: I mean I think there's two questions into that. In terms of the strategic review, we say that, that will – you shouldn't rush these things, but you should progress quickly. So it's not – we haven't committed to an exact timeline, except that we would update here. So that's why we stated. It's a balance there. I think at Capital Markets Day, we haven't communicated, but I think the intention is to have a Capital Markets Day when the strategic review has more clarity, and we will get back to exact those dates.
Rasmus Engberg: All right. Thanks for that.
Alexis Bonte: Well, thank you very much for the questions. This concludes our Q1 report for Stillfront. Thank you all for your attention, and I wish you a very good day. Thank you.